Operator: Hello. And welcome to the X-FAB Full Year and Fourth Quarter 2024 Results Conference Call. My name is George, and I’ll be your coordinator for today’s event. Please note this conference is being recorded and for the duration of the call you will be in a listen-only mode. However, you will have the opportunity to ask questions towards the end of the presentation. [Operator Instructions] I’d like to hand the call over to your host, Mr. Rudi De Winter, CEO to begin today’s conference. Please go ahead sir.
Rudi De Winter: Thank you. We have today also in the conference call Alba Morganti, CFO. Good evening everyone. So let me first walk over the highlights of the fourth quarter 2024. The revenue was $189 million excluding the impact of the IFRS, the revenue was $197 within the guided range and the EBITDA was $40 million excluding IFRS 15, impact the EBITDA was $22.8 also in the guidance and the EBIT was $10.6 million or 6% of sales. With respect to the 2025, we are planning for growth and Alba will go more in detail for that later. Looking at the business side for the fourth quarter comparing versus a year ago, the CMOS and particularly the 180-nanometer did well due to good demand and the capacity expansions of 180-nanometer in particularly in our factory in France contributing to the growth. The 180-nanometer will be the growth driver also for 2025 due to our further expansions and the continued good demand on the for the BCD-on-SOI. The CMOS 350-nanometer was weak due to automotive inventory corrections overall about 75% loading as we speak now. The CMOS 150-millimeter so the 6-inch wafers they are doing well with good feasibility for the next two years due to the last time by orders that all came in. On the silicon carbide we reached the low. Better booking came in for production for in the fourth quarter so this quarter and the next quarters will look better. A lot of prototyping was recorded with new MOSFET in 2024. The customers are preparing with new devices with better performance and new products are focusing more on the automotive end market. So we expect the gradual increase of and shifts from mostly industrial to also a mixed industrial automotive. The micro systems was mixed. New applications are ramping up such as the smallest contactless medical temperature sensor in the world for health applications in mobile devices while the automotive sensors are also suffering from inventory reductions. Looking at the end markets, the automotive supply chain is still reducing inventories. We noticed this in particularly in the 350-nanometer which was the highest volume in the past and not so much constraint. So this portion of our business is suffering right now and we expect recovery later this year. The 100-nanometer -- 180-nanometer is growing in particularly due to the BCD-on-SOI where we are adding most of the capacity. This is where we have most of the new products in the pipeline as well. This is driving the growth however short-term not yet compensating the loss on 300 -- of revenue on the 350-nanometer. Maybe a regional remark while our automotive business comparing 2023 to 2025 was more or less flat for the full year. Our China automotive business grew with 20% and we expect this to further accelerate in 2025. We see a gradual recovery of the industrial business in particularly the CMOS demands. The SiC portion in the industrial is lagging behind the CMOS recovery. We will see this gradually increasing I mean the silicon carbides in the first quarter and this is based on our visibility on the bookings and the wafer starts we have done. The medical recovery is mainly driven by personal medical devices such as hearing aids, pacemakers, glucose sensor devices and then also the larger medical equipments such as echography and devices for echography and X-ray. On the CCC it is as expected and nothing particular to report we expect this also to stay flat going forward. And this I would like to pass to Alba for the finance section.
Alba Morganti: Thanks Rudi. Good evening, ladies and gentlemen. And now let’s go to the financial update. In the fourth quarter our EBITDA was of about $40 million with an EBITDA margin of 21.1%. If we exclude the impact from revenue recognized over time the EBITDA margin for the fourth quarter would have been of 22.8%. In the full year of 2024, X-FAB recorded an EBITDA of almost $189 million with an EBITDA margin of 23.1%. If we exclude the IFRS 15 impact on the fourth quarter the revenue in the amount of $8 million, the full year EBITDA margin would have been of 23.5%, which was in the guided amount. While comparing year-on-year numbers we need to keep in mind that Q4 2023 was a record high quarter and really hard comparable as it was our best quarter ever in the whole history of X-FAB. Once again profitability is not affected by exchange rate fluctuations as X-FAB business is naturally hedged, which is crucial in this context of trade war. At a constant U.S. dollar-euro exchange rate of 1.08 as experienced in the previous year’s quarter the EBITDA margin would have been 0.1 percentage points lower. In these four quarters we had a net loss of $7.3 million mainly due to a non-cash deferred tax asset adjustment of $16.5 million. Cash and cash equivalents at the end of the third -- of the fourth quarter amounted to US$215.8 million, which were down 32% against the previous quarter as expected after the payment of several CapEx. Now that we are almost at the end of our major CapEx expansion plan, our CapEx will decrease significantly. As you could see our CapEx in the fourth quarter were of $133 million and only $510 million for the full year which was far below the announced $550 million. It means that we are $40 million better than anticipated. Despite this reduction we will still remain within the $250 million CapEx announced for the full year 2025 and won’t exceed this amount. The plan is to return to a normalized CapEx ratio of 10% to 15% of total revenue from second half of 2025 onwards. This also means that we will go back to positive cash flow and should get to a sustainable balance between debt reduction, capital return and further growth. And to conclude this financial section I would like to share our guidance for the first quarter of 2025 and give you an update for the full year’s perspective. Q1 2025 revenue is expected to come in within a range of $195 million to $205 million with an EBITDA margin in the range of 22% to 25%. The guidance is based on an average exchange rate of US$1.04 to euro and is not taking into account the impact of IFRS 15. For the full year 2025 revenue is expected to come in within a range of $820 million to $870 million with an EBITDA margin in the range of 24% to 27%. And now I would like to give back the word to Rudi.
Rudi De Winter: Thank you. Before going to the Q&A so I confirmed so the long-term fundamentals for X-FAB they remain intact serving applications related to electrification of everything and this will drive the long-term growth. I’m very pleased with the high level of interest in our specialty technologies. Our next generation silicon carbide platform announced in December is gaining strong market interest. Several customers started porting their products to the newer platform. Also X-FAB ‘s micro systems and system integration expertise is also getting a lot of customer interest. As well as our gallium nitride offering from Dresden. About 2025 will be a transition year due to continued destocking along the automotive supply chain. It will also mark the completion of our capacity expansions allowing us to better support the increased production demand for 180-nanometers and we are planning for a single-digit growth for 2025. And with the completion of the expansion it means that we will return to positive cash flow in the second half of 2025. With this, I would like to conclude the introduction, and George, I’m open for questions now.
Operator: Thank you very much Mr. De Winter. [Operator Instructions] Okay. We don’t -- we do have our very first question just came in right now and it is coming from Guy Sips of KBC Securities. Please go ahead. Your line is open.
Guy Sips: Yes. Thank you. Thank you for taking my question. I have a question on the industrial and medical markets where you already saw -- see signs of recovery. Yeah, can you elaborate a little bit on that? What kinds of recovery of signs are that? And then the second question is on the automotive supply chain. Yeah, it’s of course, very difficult to estimate, but are we -- is the trough behind us or what kind -- what is your expectation on that? Thank you.
Rudi De Winter: Yeah. So, thank you, Guy. Let me first with the industrial. So on the industrial this market we saw the first market where we saw weakness and it’s now almost more than a year ago and so there we see first signs from increased orders from customers that so they gradually the inventories are depleted and so that’s looking positive. But that’s if we look at the whole of our industrial segment so the we used to have a lot of silicon carbide in there plus the CMOS. I’m mostly referring to the CMOS now where that is strengthening. The silicon carbide that we do see new orders coming in and bookings -- book-to-bill above 1 for the silicon carbide in the fourth quarter. So we expect going forward gradually from Q1 to Q2 and step-by-step we will see also improvements in the silicon carbide. On the medical it’s a bit the same pattern so the, in particularly medical equipments, so the larger equipments like echography, X-ray machines and so forth, because of the COVID that drove also reductions in investments in these areas and then the high interest rates they resulted in delayed investments in those type of equipments and therefore they had enough chips and we see this also now coming back and if we ask our customers that that’s what they give as a reason that there was a pause on these kind of investments for a while and this is now recovering. On the automotive in general, so what -- automotive is the biggest portion of our business and so that has also the biggest impact overall. Where do we stand? So this is mixed. So we have a good pipeline of new products also with Chinese major EV brands that is ramping up and that is the positive side. On some other products on the 180-nanometer where we’re still in allocation because we gradually build more and more capacity, we’re able to grow there, but on the 350-nanometer where also a lot of automotive business is that is not fully utilized, so we’re there at like 75% utilization and there we expect that still to take it two quarters to three quarters before business will come back, so I see this this could last well within 2025 for a good recovery there. But because we -- the 180-nanometer is doing well that supports the gradual growth that we will see throughout 2025.
Guy Sips: Okay. Thank you. And if you allow me for one more one additional question on your statement that once you’re generating positive free cash flow you aim to achieve a sustainable balance between debt reduction capital return and further growth. It’s rather cryptical. Can you elaborate a little bit on that and how do you see that related to the LTAs for instance?
Rudi De Winter: Well to the -- with respect to the we have debt that we need to pay back and we need to also have payback the repayments of the LTAs that will start end of this year, but well, we expect to have significant higher EBITDA than the CapEx going forward as of the second half of this year. And so, first of -- first we will use that to pay back the loans and then in 2026 there is maybe room for also return to investors, but this is, yeah, we’ll have to take decisions on that later this year or actually next year.
Operator: Mr. Sips is that your question sir? Oh very sorry.
Guy Sips: Yeah. And is it in that order meaning first debt reduction of course and then capital return and then further growth or is that not yet decided that perhaps should be first again investing in further growth before thinking about capital returns or how do you look at this?
Rudi De Winter: No. I think we have invested a lot into capacity increase. Remember we have the $1 billion investment that we did over the past three years puts a base capacity in place that should allow us to come roughly to $1.5 billion revenue. So we -- as we are not yet there, we can wait with further capacity expansions and think about return before investing in more growth.
Guy Sips: Okay. Thank you.
Operator: Thank you, Mr. Sips. [Operator Instructions] We have another question came in just now from Trion Reid of Berenberg. Please go ahead. Your line is open.
Trion Reid: Hi. Yes. Yes. It’s Trion here from Berenberg. Just two questions coming back to that comment on capital returns first of all. I just wondered if you could give an idea of a leverage level that you’d be happy with before you would consider capital returns is it a case of paying back all of the debt to get back to a net cash or is there a leverage you would accept? And then the second question was just on the 2025 outlook and what that means in terms of the bridge to the 2026 guidance that you gave at the end of last year, because it looks like quite significant growth in 2026 compared to where 2025 might end up. Just wondering if you have any comments on that? Thanks.
Alba Morganti: Good evening, Trion. So for your first question definitely we want to be back to a more leveraged and balanced level between our debt and our cash. Means that for the time being we will still continue to deteriorate our or increase if you want our net debt, but then as the CapEx plan, as Rudi mentioned is now going to the end and we will anyway go back to normalized levels but with a much higher capacity in place. This will mean that the operational cash coming out of the operations will increase significantly and that would help to reimburse all the LTA prepayments and to go ahead reducing our overall level of debt. So going back to a more normalized level we had before we started all these major CapEx investments. So being -- that being said, don’t forget that our EBITDA margin should go up as well and that we intend not to exceed the EBITDA level in terms of CapEx. So what we earn -- what we will make as EBITDA will serve to pay to invest and we won’t exceed that from this year second half of this year onward. Then I forgot your second question.
Rudi De Winter: Yeah. The second question was on the bridge to 2026. So, yes, indeed that will be an acceleration of growth, but we see this coming first because we continue to see growth on our pipeline new products 350-nanometer that is growing and support, and then the fact that the inventories are depleted this year and that should bring also additional business back also next year.
Trion Reid: Great. Thank you.
Operator: Thank you, Mr. Reid. Our next question is coming from Robert Sanders of Deutsche Bank. Please go ahead.
Robert Sanders: Yeah. Hi, Rudi and team. I noticed actually one of the Tier 1s today Aptiv mentioned that they feared an auto chip shortage ahead of us and that they were now accumulating strategic inventory of semiconductors because of possible shortages in late 2025 and early 2026. I was just wondering -- I think the context here is a sort of repeat of 2021 when the consumer demand picked up and then suddenly there was all this these shortages. Is that something that you’ve heard about? Obviously these OEMs and Tier 1s have built up a lot of supply chain capability to avoid a repeat of 2021. I was just wondering if you’d seen any sign of the stuff that Aptiv is doing as a sort of beginning of a trend? Thanks.
Rudi De Winter: That’s a good question. So I think very much we can compare what’s happening in the automotive sector today with 2019-2020. In particularly 2019-2020 was then the COVID, but the 2020 the recovery was already happening before the COVID struck. Whether there is a risk again of shortage? It’s hard to say what we see now. If we look at forecasts that coming from customers then, yeah, our capacities going forward will be well utilized whether, however, the bookings that we see today are still below that level, but if -- yeah, if suddenly it turns around, yeah, then things can go back quickly to very high utilization rate. Therefore, my recommendation with the customers is, yeah, be very careful, don’t over swing with inventory reductions, because, yeah, you can reduce orders quickly, but if you increase about 100% it’s not possible.
Robert Sanders: Yeah. I mean, given them Alexis [ph] said that some customers have reduced to one month of inventory on hand but some are still at three-month to four-month. What is the steady state given the experience of 2021? Is it to go back to one month which I think was the sort of prior to 2019 or do you think now that actually a lot of companies may stay at three-month to four-month?
Rudi De Winter: I cannot answer that question. I know enough feasibility in the inventory levels in the supply chain. But what I fear is that people tend not to learn. So they -- it’s -- by the time it’s a couple of years that the shortage is over, people start to look again at optimizing their inventories, and I think, it will not happen that they’re smarter, but whether they will be smarter let’s see.
Robert Sanders: Got it. My last question is just about the China business. So, I think, it was in the region of $100 odd million in 2024 but you’ve got this big ramp up. So where could it be driven by the automotive business you’re seeing in China in 2025? Is it does it go from $100 million to $200 million or is that too aggressive?
Rudi De Winter: No. So there is the total China business which used to be around $100 million, but that was predominantly non-automotive, or yeah, so I think in 2023 and we had around $100 million China business. 2024 it was less in fact if you take the overall is like $90 million, but that was the drop was mainly on silicon carbide. So the difference is like drop of $15 million silicon carbide. So all the other besides silicon carbide it did show grow in 2024. But if you look specifically to automotive, our automotive business in China that went up from low 30s to somewhere early low 40s so like 20% to 25% growth and so when I refer to the automotive growth in China that’s where -- the level where it was in 2024 and we expect significant increase in 2025.
Robert Sanders: Got it. Thanks a lot.
Operator: Thank you very much for your questions, Mr. Sanders. [Operator Instructions] As we have no further questions coming in I’d like to call back over to you Mr. De Winter for any additional or closing remarks. Thank you.
Rudi De Winter: Yeah. Thank you very much everyone for attending the call today and I’m looking forward to speak to you on the 24th of April to discuss the first quarter results and then I wish you further all nice evening and good-bye.
Operator: Thank you very much, sir. Ladies and gentlemen that will conclude today’s conference. Thank you very much for your attendance. We will disconnect. Have a good day and good-bye.